Operator: Good day ladies and gentlemen, and welcome to the Matrix Service Company Conference Call to discuss results for the Third Quarter ended March 31, 2014. At this time all participants are in a listen-only mode. Later we will conduct the question and answer session and instruction will follow at that time. (Operator Instructions). As a reminder this conference is being recorded. I would now like to introduce your host for today's conference Mr. Kevin Cavanah. Sir you may begin.
Kevin S. Cavanah: Thank you. I would now like to take a moment to read the following: various remarks that the company may make about future expectations, plans and prospects for Matrix Service Company constitute forward-looking statements for purposes of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various factors, including those discussed in our Annual Report on Form 10-K for our fiscal year ended June 30, 2013, and in subsequent filings made by the company with the SEC. To the extent the company utilizes non-GAAP measures, reconciliations will be provided in various press releases and on the company's website. I will now turn the call over to John Hewitt, President and CEO of Matrix Service Company.
John R. Hewitt: Thank you, Kevin. Good morning, everyone. On quick logistics note we had a power outage this morning at our corporate headquarters in Tulsa. So Kevin and I and the team are calling from our fabrication facility in Catoosa. If you have any problem hearing us please let us know and we'll move closer to a phone or try something different. If you need to reach us after the call please send us an email at ir@ matrixservicecompany.com and we'll get back to you. So I would like to thank -- I would thank the employees of Matrix Service Company for a record third quarter of fiscal 2014. This is their dedication and commitment that we continue to make progress on the goals we established in 2012 and our five year strategic plan. We recently brought together our operational team leaders to revisit and refresh this plan which runs through our fiscal 2017. These processes provide a clarity on our objectives and the tremendous market opportunities in front of us. As I mentioned earlier the third quarter of our 2014 fiscal year was a record for the company. We continue to see excellent organic growth opportunities in the business versus our expectations in our initial five year strategic plan. This growth has been significant in the progress towards our objectives has that been a key to the success. We measure ourselves again the peer group's operating performance and set strategic metrics as goals to our performance. It is our vision to be the best of the best and while there is still work to do we have made considerable progress towards this vision. As we outline the tactics details on our strategic plan for each of our segments we will continue to create growth, consistently in our performance and enhance value for Matrix employees, customer and shareholders. We remain confident in the direction of the business and the tactics to continue with our success. Our number objective will always be of safety and continued focused on creating an injury free work play. As we have stated in previous calls this objective is a journey which at times can be challenging. In the quarter our statistical performance was not in keeping with our goals. However, we believe that progressed continuous to be achieved in the development of our zero injury culture. For the nine months ended March 31, 201 our total recordable incident rate was 0.70. While this performance is exceptional against the construction industry at large it falls short of our expectations. An entry free work place is an achievable goal because coming to work safety is a choice and therefore incidents are also a choice and preventable. I encourage everyone on the phone today to contemplate your personal safety and that of your family and co-workers. Please visit our YouTube channel at youtube.com/matrixcompany to view our employee submissions for our annual safety video contest which we discussed in the previous quarter's call. Last month we celebrated the 30th Anniversary of Matrix Service Company. Leadership team and employees are very proud of this accomplishment and are excited about the potential of the business over the next 30 years. In our strategic plan to refresh process, the (inaudible) of the next 30 years is core to our decision making. I want to take this time to thank not only our employees but long-term shareholders who have been with us on this tremendous journey and we look forward to your continues support in the future. Again please go to our YouTube channel for our 30th Anniversary video message. A link is included in our IR Home page. Before we discuss our results for the quarter I would provide an update on the first phase of the North American Construction integration. We expect Phase I to be complete by mid calendar year 2014 which generally includes IT, accounting HR and safety and infrastructure. The employees of Matrix NAC or Matrix North American construction and those on integration team have been working entire to meet this goal and we remain on schedule thanks for their dedication. Revenue on our electrical infrastructure segment showed growth in the third quarter primarily due to inclusion of a full quarter's activity related to Matrix North American Construction. Despite a tough winder sub-station work across our service area returned to expected levels. We also saw transmission and distribution work restart for several of our larger customers after a temporary shifting of priorities. Management is focused on the continued development of its core business in the Northeast as well as expanding into new territories. Expansion in the New England, Long Island and the West Coast are priorities for our team and progress on these plans are tangible. With that said we were recently awarded our first substation project for our major utility in Southern California. Regarding power generation Matrix NAC expects bid activities to be high till the end of the fiscal year and beyond as the number of potential gas power projects in the development phase continues to expand. Our current power project is progressing well, construction activity expected to increase in the near term. While the financial performance for the quarter has not achieved our expectations I am confident with the opportunities and potential for this segment going forward. Moving on our oil & gas segment had a strong third quarter with solid growth in gross margins. Our revenue was down year-over-year. We are pleased with the mix of business we are seeing in this segment. Our turnaround and maintenance group has received several recent strategic project awards that are notable as they continue to strengthen our brand and position in the market place and lay the foundation for strength in fiscal 2015. In our core geographies we are extending existing contracts with maintenance customers and winning work from competitors. On a quarter-over-quarter basis we continue to see client facility and geographic expansion opportunities in this segment. We are also starting to see in-roads in the upstream oil and gas sector. We are actively bidding opportunities in this space and are excited about the possibilities for our capital construction group. Customers like our diverse service offering, brand strength and historical project execution success. Our team in this segment is committed to enhancing value for our clients and we are pleased with our success to-date. Although [we turned] 242 million in new awards in the quarter and 565 million since June 30, 2013 new tanks terminals and balance of plan opportunities continue to drive strong results in our storage solutions segment. This is evidenced by the press release posted this morning concerning two major terminal expansion projects that have been awarded to Matrix from Ambridge, valued in excess of a $100 million. While growth is centered primarily on our large crude storage projects, tanks and full terminals we continue to see increased interest in our specialty vessel offering including Cryogenic and refrigerator storage related to LNG and Natural Gas liquids. Our engineering group is busy responding to enquiries for pre-feed and feed studies for Cryogenic related tank and terminal projects across North America. These opportunities are to invest to full EPC projects with the export of propane, butane, ethane and LNG as well as transportation fuel terminals. In addition we are seeing strong demand across the U.S. and Canada as the energy industry plans massive infrastructure construction to support the gathering transportation processing and eventual sale crude of gas, gas liquids and refined products. We are committing to enhancing value for our customers and continue to position ourselves to meet their needs over the long term. Our industrial segment is delivering strong results with quarter over quarter improvements in revenue and margins. Our mining group continues to expand the brand as a result of finding a critical niche in a market dominated by small local contractors and large global EPC firms. Customers are finding our diverse service offering enhances value for them in an environment of poor competitive performance and the need for increased capital effectiveness. Our work on the [Alaskan] fertilizer project is going very well and we are actively bidding additional scope for that side. In general the market outlook remains strong for the development of additional fertilizer related businesses and our experience in engineered expertise is creating a key differentiator for our value proposition. Regarding our Iron and Steel business strong project activity by several key customers provided a steady stream of work during the quarter. We expect a strong finish to fiscal 2014 with the solid backlog of work and opportunities leading into the next fiscal year. As I mentioned earlier I am excited with our year-to-date results. Matrix has grown substantially over the past three year primarily through organic means but also with strategic acquisitions. We are developing a strategic potential for company positioning ourselves as a premier North American engineering construction firm. While these are exciting times at Matrix the future remains just as bright. I’ll now turn the call back over to Kevin to discuss the details of our financial performance. Kevin?
Kevin S. Cavanah: Thanks John. Our third quarter results were very strong we’ve generated record revenues of $381.5 million compared to $226 million in the third quarter of fiscal 2013. That's an increase of $155.5 million which included $64 million from the recently acquired Matrix North American construction. The legacy business growth was $91.5 million or 40.5% as compared to the prior year third quarter. On a segment basis there were strong growth in the storage solutions and industrial segments. Our quarterly net income was $11.4 million and fully diluted EPS of $0.42 both represented record performance. In the third quarter of last year the company produced net income of $6.5 million and fully diluted EPS of $0.25. Consolidated gross profit was $39.9 million in the three months ended March 31, 2014 versus $23.1 million in the three months ended March 31, 2013. The performance of our overall business produced 10.5% consolidated gross margins as compared to 10.2% consolidated gross margins in the third quarter of fiscal 2013. SG&A expenses were $21.1 million in the three months ended March 31, 2014 compared to $14.7 million in the same period last year. The increase was a result of the addition of SG&A cost and amortization expense related to Matrix NAC as well as an increase in incentive accruals recorded in connection with the strong performance of the company and the other cost required to support the growth on our business. SG&A as a percentage of revenue decreased to 5.5% in the third quarter of fiscal 2014 as compared to 6.5% in the same period last year. With regard to segment performance, the storage solutions segment was a major contributor to our overall results with 91.8% revenue growth quarter-over-quarter. Third quarter fiscal 2014 segment revenue increased to a record $181.8 million as compared to the third quarter revenues of $94.8 million in fiscal 2013. The increase resulted from higher levels of work in our domestic and Canadian above ground storage tank business in addition to significant balance of planned terminal work. Gross margins increased to 10.6% in the three months ended March 31, 2014 as compared to gross margins of 9.3% in the same period last year. Current year gross margins were reduced by $1.4 million or 0.9% due to an additional charge on an above ground storage tank project discussed last quarter. The Industrial segment also experienced significant growth as a result of the continued expansion of our mining and minerals business, the addition of services provided by Matrix NAC to the iron and steel industry and continued execution on a significant fertilizer project. Revenues for the Industrial segment totaled $74.6 million in the three months ended March 31, 2014 compared to $15.8 million in the same period a year earlier, an increase of 372%. Effective project execution and a higher recovery of construction overhead cost produced 9.8% gross margin as compared to 8.1% gross margins produced in third quarter last year. As expected, the recent acquisition helped drive an increase in our quarterly electrical infrastructure revenues from $41.7 million in the third quarter of last year to $62.1 million in the third quarter of this year. The mix of work in the quarter including a higher amount of low risk reimbursable work and the lack of storm work contributed to the decline in gross margins from 12% in the prior year third quarter to 9.6% in the fiscal 2014 third quarter. Oil, gas and chemical segment continued its strong performance in the second quarter producing revenues of $63 million compared to $73.6 million in the third quarter last year. We experienced significant growth in this segment in fiscal 2013 due to a high volume of turnaround work, scope growth and the expansion of our core client base. While our revenues are down in the currently year we are still pleased with the overall trend of this segment. Our third quarter gross margins were strong at 11% as compared to 10.9% in the same period last year. Moving on to the nine month results consolidated revenues were $918.7 million, an increase of 39.8% from consolidated revenues of $657 million in the prior fiscal year. Matrix NAC revenues since the acquisition were $69.4 million, the remaining increase of $192.3 million or 29.3% is attributable to the legacy business. On a segment basis both Storage Solutions and Industrial revenues increased significantly. Consolidated gross profit increased from $67.7 million in the nine months ended March 31, 2013 to $99.6 million in the nine months ended March 31, 2014. The increase of $31.9 million or 47.1% was due to higher revenues and improved gross margins which were 10.8% in fiscal 2014 as compared to 10.3% last year. Consolidated SG&A expenses were $55.2 million in the nine months ended March 31, 2014 compared to $42.6 million in the same period in fiscal 2013. The increase was primarily related to second quarter acquisition of Matrix NAC, higher cost to support the organic growth of the business and higher short term and long term incentive cost as a result of the improved performance of the company. In addition we’re continuing to invest in improvements of our systems, process and employee development. SG&A expenses included approximately $2 million of direct acquisition cost which increased our SG&A as a percentage of revenue by 0.2% to 6% at fiscal 2014 as compared to 6.5% in the same period of last year. Net income for the nine months of fiscal 2014 increased 70.5% to $28.3 million as compared to prior year net income of $16.6 million. Earnings per share increased 66.7% to $1.05 per fully diluted share as compared to $0.63 per fully diluted share in the prior year. Moving on backlog at March 31, 2014 totaled $905.1 million as compared to $626.7 million at the beginning of fiscal year. Project awards including Enbridge projects announce this morning totaled $404 million in the third quarter and $955 million in the first nine months of fiscal 2014. In addition the company acquired $242 million of backlog in the Matrix North American Construction acquisition. Looking at the balance sheet our cash balance stood $59.8 million at March 31, 2014 as compared to $63.8 million at the beginning of the fiscal year. During the third quarter the company utilized the revolving credit facility to partially fund the high growth and as the result the company borrowings under the revolving credit facility increased from $23.2 million at December 31, 2013 to $45.1 million as of March 31, 2014. During the quarter the company also executed an amendment to our credit facility which increased the revolver from $125 million to $200 million. The amendment was executed to ensure we had sufficient liquidity to execute on our strategic plan. The cash balance along with availability of the credit facility provided liquidity of $197.7 million at March 31, 2014. Based upon the strong performance in the third quarter we are increasing our fiscal 2014 guidance. Our previous revenue guidance for fiscal 2014 of $1.2 billion to $1.25 billion is being raised the range of $1.25 billion to 1.3 billion. We are also increasing our EPS range of $1.15 to $1.30 per fully diluted share to the range of $1.34 to $1.42. That concludes our prepared remarks and we would now like to open the call for questions.
Operator: Thank you. (Operator Instructions). And our first question comes from Matt Duncan from Stephens Incorporated. Your line is now open.
Matt Duncan - Stephens Inc.: Good morning guys, congrats on another excellent quarter.
John R. Hewitt: Thank you. 
Matt Duncan - Stephens Inc.: First one I want to start with storage business obviously that’s the strongest part of your business right now. I’m curious how much of the revenue you guys recording there, as this balance of plant work it seems to be adding quite nicely to that segment.
John R. Hewitt: The balance of plant work is a significant driver of that growth. We don’t have a specific number we’re disclosing for each various service we provide by segment but I think it's sufficient to say that it’s a significant driver.
Matt Duncan - Stephens Inc.: Okay. Kevin, there more of that work in your backlog?
Kevin S. Cavanah: Yeah, it's including there some more balance of plant work associated with the project announced this morning?
Matt Duncan - Stephens Inc.: Okay. Looking at the -- John you mentioned LNG opportunities in storage it sounds like you don't have anything in backlog as yet but there is pretty active close and bid environment there would you expect to be recording revenue tied LNG in fiscal '15?
John R. Hewitt: We'll try to get that break down a little bit so, if we are talking about LNG exports terminals there are opportunities for us out there some of are large competitors you know have internal of their business have the same skills that we have but there are other large EPC firms that are looking for the services that we can provide. And so there are some opportunities out there that we are looking at that may that would have potential come in the backlog within our organization perhaps in 2015. So it's that piece it you know that we are looking at this there's still a competitive environment you know there is no guarantees and then also the LNG related transportation fields where we are currently doing some feed studies for clients along those lines where transportations also related to ship dealing but there is also other aspects for us where LNG market is some of the older facility needed some upgrades and some inspections and so, those provide a combination of an engineered and technical review services by us as well as construction services perhaps to do some repairs on the share repair. In tank pumps, different parts of the assemblies of the system of these facilities that might be a little bit older.
Matt Duncan - Stephens Inc.: Okay, that's helpful.
John R. Hewitt: Right. So we are looking at all of those things. I would certainly hope in fiscal 2015 you know that's some pieces of what I just said will start to enter into our backlog.
Matt Duncan - Stephens Inc.: Okay, great. And last thing I'll hop back in the queue. Kevin on Kvaerner can you give us revenue there this quarter and maybe break that down into your reporting revenue segment for us and then what it do for your earnings in the quarter, how accretive was the deal in the quarter?
Kevin S. Cavanah: Roughly the revenues in the quarter were $64 million. You know from a segment basis the acquisition is primarily in the electrical and industrial segments but we are integrating that business we are not going to breaking out revenues from that acquisition by segments. It's just one the drivers and I think that's important as we try to truly do a good job of integrating of that business and as we have discussed before we said this acquisition is going to accretive in the first year and it was accretive in the first year even with the step up in basis of fixed assets which added to depreciation and even with about a $1 million of amortization of intangible costs. So without it would have contributed a couple of millions to the bottom line.
Matt Duncan - Stephens Inc.: Do you have the actual amount of EPS that id did add to how much the 42 is from Kvaerner?
Kevin S. Cavanah: There is a disclosure in the 10-Q that says a penny.
Matt Duncan - Stephens Inc.: Okay.
Kevin S. Cavanah: But without the amortization there is about of $1.6 million of excess amortization of either intangibles or the excess depreciation.
Matt Duncan - Stephens Inc.: Okay, thank you.
Operator: Thank you. And our next question comes from Tahira Afzal from KeyBanc Capital Markets. Your line is open.
Unidentified Analyst: Hi, this is [Sunnel] on behalf of Tahira.
John R. Hewitt: Good morning.
Unidentified Analyst: Hi, I am good. Thank you and congratulations first of all on an excellent quarter. My first question is regarding the booking clip going forward. Just wanted to ask how sustainable is the booking run-rate going forward?
John R. Hewitt: Well so I want to be clear that you know the $4.4 million that we had in the third quarter was probably I believe that's a record for us booking lines.
Unidentified Analyst: Yes.
John R. Hewitt: It was definitely up from our previous couple of quarters. And when we look at the overall prospects in each of the segment we are still doing real good about each of those segment opportunities.
Kevin S. Cavanah: Yeah, so, let's you know we don't guide backlog in the coming quarters, the markets are very strong across all of our segment and it is certain as we talked in these calls before it's possible because the timing of awards for our backlog could up and down from quarter, dependent on when things get awarded. So certainly our goal is to continue to build out backlog and continue that upward trend because that helps to feed the animal as we grow the business, but from quarter-to-quarter the backlog could go down. I would take that, I wouldn't be concerned about that because you got to look at the long term run rate of the backlog growth.
Unidentified Analyst: Okay. Got that. And can you provide us color on the segment wise operating margin outlook?
Kevin S. Cavanah : Segment margin operating margin outlook talk about gross margins. So we'll start with storage. They were 10.6% at quarter. Without the charge we talked about, they would have been in a range. So our guidance there hasn't change, we've been talking 11% to 12.5%%, 11% to 13% gross margin expectations storage. The oil, gas and chemical segment was 11.7% and we had a similar range expectation for them so that's as expected. The electrical was a little lower than our normal expectation of 11 to 13 for that segment, there was a different mix of work in the quarter, we didn't have any storm work. We have a lot of reimbursed low risk work. So that's why that margin was a little lower at this quarter and I think last quarter hopefully we'll see that come, rebound a little bit in future. And then on the industrial segment, that was inline with our expectations, we started the year expecting 8% to 10%. I know that segment has exceeded that especially in the second quarter but 8% to 10% is probably the still the normal margin for that segment.
Unidentified Analyst: All right. So there is no change in the guidance on the outlook which you have given on segment wise gross profit margins?
Kevin S. Cavanah : No, not as of right now, we are in the middle of updating our strategic plan and finalizing our budget for fiscal '15. So we will be releasing guidance for fiscal '15 in the summer and at that point there is a reason to change the guidance on operating or gross margin for each of the segments we would at that point.
Unidentified Analyst: All right. Got it.
Kevin S. Cavanah : I am not -- right now I don't have a reason to change any guidance.
Unidentified Analyst: Got it. And this is the last one from my side at plant. And what are the storage tank opportunities you are seeing on the petrochem side?
John R. Hewitt: So however our storage tank opportunities continue to be strong all across our system both on refined products, crude products, specialty vessels and so I can't give you a breakdown on percentages against opportunities that we are looking at, but I would say throughout the customer base and potential uses we see a lot of strength.
Unidentified Analyst: Okay. Got it. That's it from me. Thanks for taking my questions.
Kevin S. Cavanah : Welcome.
Operator: Thank you. And our next question comes from Tristan Richardson from D.A. Davidson. Your line is now open.
Tristan Richardson - D.A. Davidson & Co.: Hi. Good morning guys.
Kevin S. Cavanah : Good morning Tristan.
Tristan Richardson - D.A. Davidson & Co.: Just a quick one, Kevin can you call out what the incremental write down on the tank job was this quarter, I think you said it was $4.4 million last quarter?
Kevin S. Cavanah : I am sorry it's 1.4 million in the quarter.
Tristan Richardson - D.A. Davidson & Co.: 1.4 okay.
Kevin S. Cavanah : Yeah.
Tristan Richardson - D.A. Davidson & Co.: Thank you. And then the time left or sort of the schedule left on that project?
John R. Hewitt : So we are going to be into that project through the balance of this calendar year. So I will tell you that we have done a lot of things with management and equipment changes and procedure changes and with that we are starting to, we are feeling very comfortable about where the project is headed. And at this time we should be substantially complete by the end of this calendar year.
Tristan Richardson - D.A. Davidson & Co.: Okay, Thanks John. And then I guess when you talk about some of the prior opportunities out there and you talked about some of the marine transportation in the big LNG exports and some of the upgrades to older terminals. I am curious sort of where do you see Matrix's sweet spot there, I mean you've talked before how you don't expect to Matrix ever be a turnkey EPC on a multi-billion dollar export project. And so I guess I am curious sort of what is the size that you think you're most competitive been in terms of some of those trial projects out there.
John R. Hewitt: So first of all forever is a long time so that they will never be that we are trying to be true for the next five years. So in your career may be not mine we’ll be that guy. But anyway we are it's probably less about the dollar bag is then it is about the work system into the project. So if you take the large export terminals where our competitors like CB&I or Bechtel have the internal tank confidence. And then you take like somebody had some other contractors out there they don’t have that skill set so there are big company they can handle our multibillion dollar project but they need the engineering and construction confidence around the storage of Cryogenic liquids. So those are opportunities for us where we would feel the coming of power than a team and attack those jobs. And those projects dependent on the number of tanks could be 100 million to 250mn type projects for us that we would take a part up. So all those big jobs is less about the size and it's more about who do you team with and the ability of that team to be able to win those projects. On some of the transportation fuels those projects are probably could be in the $25 million to $100 million type range project those are certainly well within our bread basket of projects that we could do on an EPC basis. And I would say I like our chances of competing against the big guys on any of those projects because I think we can be much more efficient and competitive to win those projects. And now would go into these smaller repair type projects and upgrade projects on existing LNG facilities they might be those size projects could be in the $5 million to $25 million range. And those for sure would put us into a spot where we bring in the engineering expertise we are bringing the construction capabilities, and so very small projects would make us even more competitive against the big guys, and most smaller contractors that may be the size would scare them wouldn't have the skill sets to bring to that kind of a project.
Tristan Richardson - D.A. Davidson & Co.: And just a follow up at that, John when you look at that the market for LNG right now, do you see this is sort of the next big wave of spending bore MTRX in terms a new cycle starting up?
John R. Hewitt: Well I think as we talked before I think that the whole specially vessel market, the storage processing inherent in Natural Gas liquids, gas’s transportation fuels , LNG the exportation of propane, and ethane, methane and butane. I think we are in the very early innings of the baseball game in that market. In our view there is a lot more work to do there across North America and then we think we are in a really good position now to really ride that capital spending.
Tristan Richardson - D.A. Davidson & Co.: Okay. Thank you guys very much.
John R. Hewitt: Thank you.
Operator: Thank you. And our next question comes from Mike Harrison from First Analysis. Your line is now open.
Michael J. Harrison – First Analysis: Hi good morning nice quarter.
Michael J. Harrison – First Analysis: If I could just could take you back on the last question there. Is that really the new guys talk about opportunities in upstream oil and gas? Are those the kind of projects you are looking at or can you give us some other examples of what the opportunities are there?
John R. Hewitt: Yeah that’s an area of strategic growth cross we’d like to stop walking away from what we are doing in more the mid-stream activities downstream but we would like to get more of our portfolio and upstream whether it's in oil or it's in gas. And so we are not getting get at the well head where we know as site fracing and drilling rigs and that sort of things but gas compression and gas processing oil pumping stations those types of capital spend and projects throughout the system. We think there is continues to be a lot of opportunities like there for us that we are able to bring many cases both the not only just to see confidence but also the engineering.
Michael J. Harrison – First Analysis: And is that something that you guys can go after largely with existing resources or is it going to require a significant amount of investment?
John R. Hewitt: Yes.
Michael J. Harrison – First Analysis: Little.
John R. Hewitt: That will be at enough skills to do that but we are also you know and have in frankly you know actively looking you know small regional acquisition opportunities that will help to accelerate on move into that market. And you know in some cases for our ability to build the hand of what we see is the work load available to us that there may be some onesy, twosy people that we would add into our existing engineering structure to continue to help to provide that service. So, I don't we don't you know don't see it as a huge capital investment but there will some good news and some opportunity there maybe for some acquisition for us.
Michael J. Harrison – First Analysis: Interesting and then looking at the storage business. Can you give us sense geographically of where the strength was you know maybe disaggregate a little bit what Cushing look like versus Gulf Coast versus Canada versus other areas?
John R. Hewitt: So we are working in a lot of areas. I’d say one of the things that was very strong in this quarter and frankly in the second quarter was Cushing and that was on the balance of plant work. So, we have very large fairly large project that we were schedule intensive for one of our key clients that we stepped into and near incompletion now and so that drove you know a lot of those revenues in this quarter in past we are still very, very busy of the one stream in Canada on several different project opportunities we are busy in mid-West and Wisconsin and Illinois area not only tanks but on terminal related projects. We have projects going on down in Houston Ship channel area, inner Louisiana so, we are working in a lot of different area but one of the big drivers you know like I said at least this quarter and the past was a fairly sizeable master plan opportunity that worked on in Cushing,
Michael J. Harrison – First Analysis: All right. And then Kevin you mentioned performance incentive approvals contributed to the higher SG&A in the third quarter. Do you think we're fully accrued at this point or given the performance here could we see some further catch-up in Q4?
Kevin S. Cavanah: Yeah, I hope. So we have a an incentive plan that which covers the full year obviously we are accruing throughout the year based the percentage we think the ultimate's pay-outs going to be based upon all the various factors that go into that incentive including you know not just financial performance or safety and so you know I think we are appropriately accretive March 31 there will be [inaudible] in the fourth quarter and like John said I hope they are large. But you know it's not catch-up accrual it's just as the company has outperformed our expectations and have their higher operating are you know got to what reward the people have generated that their performance.
Michael J. Harrison – First Analysis: Understood, thank you very much.
Operator: Thank you. (Operator Instructions). And our next question Matt Duncan from Stephens Incorporated. Your line is now open.
Matt Duncan - Stephens Inc.: Hey, guys. Just want to look at the Trans Canada alliance agreement for minute. How is that going so far and I don't know if you are saying or not I know you are working on project for them in Cushing are you by chance to doing any balance of plant work there?
John R. Hewitt: Essentially.
Matt Duncan - Stephens Inc.: Fair enough. so, how is that progressing are there revenues coming in at the pace you expected them to is it doing a little better -- just curious how's that performing so far relative to what you guys thought it would it?
John R. Hewitt: So, we're no I would say the alliance is going very well our relation with Trans Canada continue to be strong we are doing projects for them in Cushing and doing projects for them in the Houston Area. We are working on projects for them up in Western Canada. And as part of the alliance I mean we are looking at projects before them on their plan capital spending over the period next three to five years. So we are involved not only in the construction and installation projects there right now but we are also heavily involved with them in their planning and budgeting stages.
Matt Duncan - Stephens Inc.: Okay.
John R. Hewitt: So that relationship is going well we believe TransCanada will sustain and certainly they have been a big contributor, TransCanada has been a big contributor to our business over the past year and we believe that will continue into the future.
Matt Duncan - Stephens Inc.: Okay. Wage inflation, is that something you guys are starting to experience anywhere in the business yeah, maybe especially along the Gulf Coast where it looks like things were really starting to pick up?
John R. Hewitt : Probably Saudi starting areas, we are starting to see a little bit, I would say right at this point is not having a big impact on our business. So we talked before that we would expect over the next two to four year is that that we will start to get pressure of wages and availability labor, moreover we are all, we are already above that curve, we are already looking ahead of how we can continue to develop our labor resources and create an environment that Matrix is a place where people going to want to come to work when they make those choices the Gulf Coast was going to be a hot bed of capital spending down there, there is going to draw a lot of resources, a lot of companies that traditionally draw their resources out of the Gulf Coast. They don't have that opportunity in the future that those resources that they normally can order travel for them are going to be want to home, but we got where we think is a pretty expensive network of labor resources all the best country and we are doing things today with local technical colleges, local chambers, the businesses -- company. So we work with on daily basis to avail and create additional labor resources for us to use.
Matt Duncan - Stephens Inc.: Okay. And John I assume this is the case, but just to make sure I assume that on projects with -- that would get you into the two or four of your outlook on wage inflation, there are appropriate wage inflators in those contracts do you feel like?
John R. Hewitt : Absolutely.
Matt Duncan - Stephens Inc.: Okay. Great. Thanks guys.
John R. Hewitt : So we have projects to go into multiple years, as part of our negotiations is that we include escalation causes for not only for labor but also for raw materials.
Matt Duncan - Stephens Inc.: Okay. Great. Thanks.
John R. Hewitt : Welcome.
Operator: Thank you. And I am showing we have no further questions at this time. I'd now like to turn the call over to your host, John Hewitt for any further remarks.
John R. Hewitt : Thank you everybody for participating in today's call and we look forward to talking with you in the near future. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program. You may all disconnect and have a wonderful day.